Operator: Thank you for standing by, and welcome to Generac Holdings Inc.'s Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the call over to Director of Corporate Finance and Investor Relations, Kris Rosemann. Please go ahead.
Kris Rosemann: Good morning, and welcome to our third quarter 2025 earnings call. I'd like to thank everyone for joining us this morning. With me today is Aaron Jagdfeld, President and Chief Executive Officer; and York Ragen, Chief Financial Officer. We will begin our call today by commenting on forward-looking statements. Certain statements made during this presentation as well as other information provided from time to time by Generac or its employees may contain forward-looking statements and involve risks and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see our earnings release or SEC filings for a list of words or expressions that identify such statements and the associated risk factors. In addition, we will make reference to certain non-GAAP measures during today's call. Additional information regarding these measures, including reconciliation to comparable U.S. GAAP measures, is available in our earnings release and SEC filings. I will now turn the call over to Aaron.
Aaron P. Jagdfeld: Thanks, Kris. Good morning, everyone, and thank you for joining us today. Home standby and portable generator shipments grew sequentially in the quarter, but were below seasonal expectations as a result of a power outage environment that was significantly below our long-term baseline average and the lowest third quarter of total outage hours that we've experienced since 2015. On a year-over-year basis, overall net sales decreased 5% to $1.11 billion. Residential net sales declined 13% as compared to the prior year quarter with softness in home standby and portable generators, partially offset by strong growth in sales of residential energy technology solutions. Global C&I product sales also increased 9% during the quarter, led by growth in the domestic telecom and industrial distributor channels as well as international markets, which included the first shipments of our large megawatt generators to data center customers. Our significant momentum in the data center market has continued with our backlog for these products now doubling to over $300 million over the last 90 days, with even greater opportunities developing in our growing sales pipeline. Now discussing our third quarter results in more detail. Third quarter home standby shipments and activations increased sequentially from the second quarter, but shipments decreased at a mid-teens rate on a year-over-year basis as a result of the significantly weaker outage environment in the current year period as well as the strong prior year period that included the benefit of multiple landed hurricanes. The historically low outage activity in the quarter was broad-based with all regions declining as compared to the prior year and resulted in portable generator sales also declining on a year-over-year basis. Home consultations for home standby generators also increased sequentially from the second quarter, but declined year-over-year during the third quarter. Although the seasonally higher levels of IHCs that we would have normally seen did not materialize this year, home consultations held a solid baseline level with the ratio of home consultations to outage hours at the highest level since we began tracking these metrics more than a decade ago. We view the relative resilience of the home standby category as further evidence of continued growing awareness for these products and the underlying demand we continue to see as representative of a new and higher baseline level following the elevated outage environment of 2024, despite the very low level of outages seasonally in the third quarter. Our expanded investments in our marketing and lead generation capabilities as well as our solid execution and optimization of promotional campaigns also provided important support for the home standby demand during the quarter. Importantly, close rates improved substantially on a sequential basis and came in better than expected during the quarter with strong momentum continuing here in the month of October. We remain focused on initiatives to support ongoing improvements in close rates such as further increased awareness of financing alternatives and optimize sales tools and training for our partners. We also attribute the recent improvement in close rates to a significant change in our approach to distributing leads to our dealers through the implementation of an enhanced data-driven process that allows our dealers to select or pull which leads they prefer to pursue as opposed to the previous push approach, which distributed leads directly to specific dealers based on certain criteria. The new lead process allows a wider pool of dealers with higher close rates, the ability to select which leads they believe they have capacity to address. We believe the resulting improvement in close rates will further optimize our customer acquisition costs and lead to a broader distribution of sales leads across our residential dealer base. Our residential dealer network continued to expand during the quarter as our dealer count reached nearly 9,400, an increase of approximately 100 from the prior quarter and an increase of nearly 300 dealers over the prior year. We view this continued strength in contractor interest in the product category as evidence of the growing underlying demand for backup power solutions despite the softer outage environment. In addition, our aligned contractor program, which targets contractors that purchase our products through wholesale distribution, has also continued to grow and provides for incremental engagement, training and installation bandwidth through this important distribution channel. Also during the third quarter, we began the initial shipments of our next-generation home standby generator product line, which represents the most comprehensive platform update for the category in more than a decade. The new product rollout will continue in the fourth quarter with our first shipments of the higher end of the product range, including the market's first 28-kilowatt air-cooled home standby generator. This new product line features the lowest total cost of ownership available driven by reduced installation and maintenance costs as well as introducing industry-leading sound levels and the best fuel efficiency of any residential generator on the market today. The next-generation platform, together with our new Field Pro application also offers a number of important benefits for our channel partners, including significantly lower commissioning times and improved remote diagnostics, enabling operational efficiencies for their businesses and greater uptime and cost savings for their customers. Moving to residential energy technology solutions. Sales of these products and services outperformed our expectations once again and grew at a significant rate during the quarter, led by shipments of energy storage systems in Puerto Rico. Our team continues to execute extremely well alongside our partners on this energy grant-related program, which is expected to drive continued strong residential energy technology sales growth into the fourth quarter. Our ecobee team continued to drive that business forward and delivered another profitable quarter with significant gross margin improvement and operating leverage as a result of continued strong sales growth and disciplined cost control. Additionally, ecobee's installed base grew to approximately 4.75 million connected homes with increased energy services and subscription sales supporting a growing high-margin recurring revenue stream. We expect ecobee to deliver positive EBITDA contribution for the full year, a key milestone for the strategically important part of our business. As we begin launching new energy storage, microinverter and home standby products that are integrated with the ecobee's platform during the second half of this year, we are intent on delivering a premium feature set and user experience, which we believe will be an important differentiator for our growing residential energy ecosystem. We also made significant progress in our solar and storage product development efforts during the third quarter as we began shipping PowerCell 2, our next-generation energy storage system and introduced PowerMicro, our solar microinverter that will begin shipping by the end of this year. As we close out 2025, we are focused on leveraging these new products as well as our distribution and marketing capabilities to drive market share gains and significant sales growth in the future. As appropriate, however, we intend to recalibrate our investment levels to reflect the completion of our energy grant program in Puerto Rico and to adjust for a broader market environment that is likely to contract in 2026 as a result of the substantial reduction in federal incentives for solar and storage technologies. Although we see this market contracting in the near term, we believe that the secular trends of rising power prices and declining component costs are creating a situation where the economics of residential solar and storage technologies will provide for an attractive long-term market opportunity regardless of the level of government incentives. Now let me provide some additional commentary on our commercial and industrial product categories, where we continue to see year-over-year sales growth, which accelerated during the third quarter. In particular, sales to our domestic industrial distributor customers increased at a solid rate in the period as we further reduce the lead times for our C&I products. Our teams have been working hard to increase production rates over the last 18 months by bringing our new facility in Beaver Dam, Wisconsin online earlier this year. And as a result, we have successfully brought our lead times down to more historically normal levels. In addition to our operational execution in the quarter, our efforts to further develop our distribution partners, both owned and independent, have helped to expand our share of the domestic backup power generation market over the last several years. In addition to the growth in our industrial distribution channel, shipments to national telecom customers also grew at a robust rate in the third quarter compared to the prior year as part of the ongoing recovery for this important channel during 2025. We continue to expect the growing dependence on wireless communication and additional infrastructure required enhanced reliability to provide a solid backdrop for secular growth in sales of C&I products to our telecom customers into the future. Mobile product shipments to national and independent rental customers outperformed our prior expectations and increased on a sequential basis, which we view as signaling the beginning of a recovery for this market. We anticipate favorable momentum to continue building in the coming quarters for our mobile products, and we continue to believe we are well positioned for long-term growth given the mega-trend around the infrastructure-related investments needed both domestically and internationally that leverage our global portfolio of mobile products. Internationally, total sales increased 11%, driven by continued strength in C&I product shipments in Europe and the first shipments of our large megawatt generators to a data center customer in Australia. International sales continue to benefit from the favorable impact of foreign currency, which we expect will continue in the fourth quarter. Additionally, international EBITDA margins expanded at a strong rate from the prior year due to favorable sales mix. Our initiative to penetrate the large and rapidly growing data center market continued to gain momentum with initial shipments in international markets beginning during the third quarter. And as we saw our global backlog of large megawatt generators for this important end market doubled to more than $300 million over the last 90 days. The first domestic shipments of these new large output generators began here in the month of October, and we are projecting strong sequential growth in sales to the data center end market during the fourth quarter. The large majority of our backlog is expected to ship in 2026, providing a meaningful tailwind for overall C&I product growth in the coming year. Importantly, we continue to develop a robust pipeline of new opportunities within the data center market that represents significant upside for our C&I product in 2027 and beyond. Data center power demand is forecasted to grow at a significant rate for the foreseeable future. And the high uptime requirements of these facilities drives backup power needs in excess of site electricity consumption. Third-party estimates suggest that global data center power demand will cumulatively grow by more than 100 gigawatts over the next 5 years, with the potential for incremental annual capacity additions to double by the end of this decade. Additionally, further global market opportunities exist for large megawatt generators within our traditional end markets, in particular, providing backup power for large manufacturers, cold chain distribution centers, health care facilities and other critical infrastructure that have higher backup power requirements. Given the existing supply constraints within the high end of the C&I backup power generator market, large megawatt generators represent a massive opportunity for Generac as a long-standing well-known participant in the C&I backup power markets. In addition to our highly competitive lead times, we believe that our strong reputation as an engineering-driven organization that is uniquely focused on backup power with a customer-centric approach and world-class service capabilities will allow us to gain share in the data center backup power market as well as our traditional end markets. Given the momentum in our sales pipeline and the significant incremental market opportunity we see in the future, we have been actively exploring further investments to aggressively expand our competitive positioning and increase our capacity and capabilities for these products. We expect to undertake several important capacity expansion-related projects and investments during the fourth quarter to position Generac as a significant producer of these products well beyond 2026 and to support what we believe could be a potential doubling of our C&I product sales over the next 3 to 5 years. In closing this morning, our third quarter results and our lower residential sales outlook reflect a historically weak power outage environment. However, the mega-trends that support our future growth potential remain intact as lower power quality and higher power prices will be an ongoing challenge given the more frequent and severe weather patterns as well as broader electrification trends. And at the same time, the massive increase in data center power demand is expected to further stress the already fragile power grid by amplifying the growing electricity supply/demand imbalance. Additionally, we're entering a period of unprecedented growth for our C&I products as the expansion of our product line to include large megawatt generators has allowed for our entry into the rapidly growing data center market. As a leading energy technology company, we believe Generac is uniquely positioned at the center of these mega-trends that have the potential to drive substantial and sustainable growth in the years ahead. I'll now turn the call over to York to provide further details on third quarter results as well as our updated outlook for 2025. York?
York Ragen: Thanks, Aaron. Looking at third quarter 2025 results in more detail. Net sales during the quarter decreased 5% to $1.11 billion as compared to $1.17 billion in the prior year third quarter. The combined effect of acquisitions in foreign currency had an approximate 1% favorable impact on revenue growth during the quarter. We believe looking at consolidated net sales for the third quarter by product class, residential product sales decreased 13% to $627 million as compared to $723 million in the prior year. As Aaron discussed in detail, a significantly lower power outage environment as compared to the prior year resulted in a decline in home standby and portable generator shipments. This was partially offset by robust year-over-year growth in sales of energy storage systems and ecobee home energy management solutions. Commercial & Industrial product sales for the third quarter increased 9% to $358 million as compared to $328 million in the prior year. Core sales growth of approximately 6% was driven by an increase in shipments to our domestic telecom customers, together with a strong growth in Europe and initial shipments of our new large megawatt generators to a data center customer in Australia, partially offset by continued weakness in shipments to national rental accounts. Net sales for the other products and services category increased approximately 5% to $129 million as compared to $123 million in the third quarter of 2024. Core sales increased approximately 3%, primarily due to growth in ecobee and remote monitoring subscription sales and other installation and maintenance services revenue, partially offset by a reduction in parts and accessory shipments given the lower outage environment. Gross profit margin was 38.3% compared to 40.2% in the prior year third quarter, primarily due to unfavorable sales mix, together with the impact of higher tariffs and manufacturing under absorption, partially offset by increased price realization as a result of price increases implemented earlier in the year to address the impact of incremental tariffs. Operating expenses increased $20.2 million or 6.7% as compared to the third quarter of 2024 as a result of certain legal and regulatory charges in the current year as disclosed in the accompanying reconciliation schedules. Excluding these items, which are not indicative of our ongoing operations, operating expenses decreased $0.6 million or 0.2% from the prior year. Adjusted EBITDA before deducting for noncontrolling interests, as defined in our earnings release, was $193 million or 17.3% of net sales in the third quarter as compared to $232 million or 19.8% of net sales in the prior year. This margin decline was primarily driven by the previously mentioned unfavorable sales mix and the operating expense deleverage on the lower sales volumes. I will now briefly discuss financial results for our 2 reporting segments. Domestic segment total sales, including intersegment sales, decreased 8% to $938 million in the quarter as compared to $1.02 billion in the prior year, including approximately 1% sales growth contribution from acquisitions. Adjusted EBITDA for the segment was $166 million, representing 17.7% of total sales as compared to $212 million in the prior year or 20.7%. International segment total sales, including intersegment sales, increased approximately 11%, $185 million in the quarter as compared to $167 million in the prior year quarter, including an approximate 3% benefit from foreign currency. Adjusted EBITDA for the segment before deducting for noncontrolling interest was $27 million or 14.8% of total sales as compared to $20 million or 12.2% in the prior year. Now switching back to our financial performance for the third quarter of 2025 on a consolidated basis. As disclosed in our earnings release, GAAP net income for the company in the quarter was $66 million as compared to $114 million for the third quarter of 2024. The current year quarter includes an unfavorable Wallbox fair market value mark-to-market adjustment of $5.7 million and a loss on refinancing of debt of $1.2 million related to our Term Loan A and revolver amend and extend transaction that closed in July 2025. Our interest expense declined from $22.9 million in the third quarter of last year to $18.5 million in the current year period as a result of lower borrowings and lower interest rates relative to prior year. GAAP income taxes during the current year third quarter were $11.8 million or an effective tax rate of 15% as compared to $33.5 million or an effective tax rate of 22.7% for the prior year. The decrease in effective tax rate was primarily driven by favorable discrete tax items in the current year quarter related to certain return to provision adjustments that did not occur in the prior year. Diluted net income per share for the company on a GAAP basis was $1.12 in the third quarter of 2025 compared to $1.89 in the prior year. Adjusted net income for the company, as defined in our earnings release, was $108 million in the current year quarter or $1.83 per share. This compares to adjusted net income of $136 million in the prior year or $2.25 per share. Cash flow from operations was $118 million as compared to $212 million in the prior year third quarter. And free cash flow as defined in our earnings release was $96 million as compared to $184 million in the same quarter last year. The change in free cash flow was primarily driven by an increase in inventory levels during the current year quarter and lower operating income, which was compounded by a decline in inventory levels during the prior year quarter. Total debt outstanding at the end of the quarter was $1.4 billion, resulting in a gross debt leverage ratio of 1.8x on an as reported basis. With that, I will now provide comments on our updated outlook for 2025. As discussed by -- as discussed in detail by Aaron, the extremely low outage environment in recent months has resulted in lower demand for home standby and portable generators and a reduction in our full year 2025 outlook for overall net sales growth. We now expect consolidated net sales for the full year to be approximately flat compared to the prior year, which includes an approximate 1% favorable impact from the combination of foreign currency and acquisitions. This updated outlook compares to our previous guidance of plus 2% to 5% net sales growth over the prior year. Looking at product classes, we now project full year 2025 residential product sales to decline as compared to the prior year in the mid-single-digit percent range, while C&I product sales are expected to increase as compared to the prior year, also in the mid-single-digit percent range. The resulting sales mix shift is projected to have an unfavorable impact on gross and adjusted EBITDA margins for the year as compared to our prior guidance. Specifically, we now expect gross margin percent for full year 2025 to be approximately flat to slightly down compared to the full year 2024 levels. This represents a nearly 1% decrease from our prior expectation of approximately 39.5% as a result of the previously mentioned unfavorable sales mix and lower manufacturing absorption given the lower residential production volumes, together with incremental new product transition and C&I plant start-up costs that are transitory in nature. Additionally, this gross margin guidance assumes that current tariff levels that are in effect today stay in place for the remainder of the year. Looking at our adjusted EBITDA margin expectations for the full year 2025, given the factors impacting our gross margins, together with additional operating expense deleverage on the lower sales volumes, we are reducing our guidance for adjusted EBITDA percent to approximately 17%. This is compared to our previous guidance range of 18% to 19%. Additionally, as a result of higher use of cash for primary working capital and capital expenditures, free cash flow conversion from adjusted net income is now expected to be approximately 80% for the full year 2025 as compared to the previous guidance range of 90% to 100%. This would still result in approximately $300 million of free cash flow in fiscal 2025, which provides for near-term optionality to allow for additional investments to drive future growth as part of our disciplined and balanced capital allocation framework. As is our normal practice, we're also providing additional guidance details to assist with modeling adjusted earnings per share and free cash flow for the full year 2025. For full year 2025, our GAAP effective tax rate is now expected to be between 20% to 20.5%, down from our prior guidance of 23% to 23.5% due to the lower realized third quarter tax rate. Specifically for the fourth quarter 2025, our GAAP effective tax rate is expected to be approximately 25%. Importantly, to arrive at appropriate estimates for adjusted net income and adjusted earnings per share, add-back items should be reflected net of tax using this 25% effective tax rate. We now expect interest expense to be approximately $70 million to $74 million for the full year 2025, assuming no additional term loan principal prepayments during the year. This compares to our previous guidance of $74 million to $78 million and contemplates lower interest rates and outstanding borrowings than previously assumed. Our capital expenditures are now projected to be approximately 3.5% of forecasted net sales for the full year 2025, a 0.5% increase from prior guidance as a result of incremental CapEx investment for data center capacity expansion expected in the fourth quarter of 2025. Depreciation expense, GAAP intangible amortization expense and stock compensation expense are expected to remain consistent with last quarter's guidance. Our full year weighted average diluted share count is expected to be approximately 59.4 million to 59.5 million shares as compared to 60.3 million shares in 2024. Finally, this 2025 outlook does not reflect potential additional acquisitions or share repurchases that could drive incremental shareholder value during the year. This concludes our prepared remarks. At this time, we'd like to open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tommy Moll of Stephens.
Thomas Moll: I want to start on the data center market opportunity, Aaron. What all have you learned thus far in terms of the competitive dynamics there, the size of the opportunity? I think last quarter, you framed it at about $5 billion, the deficit next year. And then just in terms of the types of customers where you're seeing some traction, what's the nature of the conversation with hyperscale at this point? And any orders there in the backlog number that you gave us?
Aaron P. Jagdfeld: Yes. Thanks, Tommy. So I mean, obviously, this is just a really unique opportunity for us. The structural deficit of the supply side of backup power for this particular market is as you would imagine, with the foot rate that's ongoing here to put these data center facilities in the ground. Every single conversation we have with a developer, with a hyperscaler, and edge data center provider, all of those conversations are almost the same in terms of just the difficulties in bringing these facilities online because of some of the constraints. The constraints being in the electrical side of the buildings, transformers, switchgear, generators. All of those components are in heavy demand as you expect. And this is, I think, just from a structural standpoint, it feels like this is going to continue for some time. We don't have in our backlog today any orders reflected from any hyperscalers, but we continue to have very productive conversations there. And we're very optimistic as we work to get added to the approved vendor list for these hyperscalers. They are very eager to have additional supply coming to the market. They're very eager to have us be a supplier to the market. Again, I think our brand, we're a trusted brand. We've been in the C&I backup power market for over 50 years. And so our expansion into this product line is kind of a -- it's a natural evolution. And it's not some fly-by-night supplier coming into the market. It's somebody who's well known, well capitalized and somebody who is going to be very aggressive, as I said on the call in the prepared remarks. We see a unique opportunity here for us to do something that is kind of generational with the company and with this part of our business. And as I said in the prepared remarks, we will have -- we've got a number of balls in the air here that by Q4 -- here in Q4, we're going to have to pull the trigger on a number of things. We've taken up our CapEx guide range slightly. That's part of the front end of this. That's everything from facilities to equipment. Our M&A funnel has also expanded where we think we could add capabilities and additional capacity through acquisitions. So we're looking at -- basically, we're not leaving any stone uncovered here, Tommy. It's a -- again, we have to be aggressive. We have to lean forward and we will capitalize on this in a way that I think -- the market certainly wants us to succeed. Every conversation we've had is to that effect, and we will succeed. This is going to be an area that's right in our wheelhouse. I feel very comfortable and very confident that we can execute on this. Our first shipments, I watched them go out of our factory in Oshkosh, Wisconsin last week, 1.5 weeks ago. Our first shipments went out internationally to a customer here earlier in the month and things are rolling. We've got products online, and we are looking at how can we aggressively expand our capacity with -- by leaning forward with investment in this area of our business.
Operator: Our next question comes from the line of George Gianarikas of Canaccord Genuity.
George Gianarikas: Now I know you're not talking about 2026 just yet, but if you could just sort of help us work through all the moving parts here? Clearly, outages have been weaker. There is a pull from data center generators and there's this -- the roll-off potentially of what's happened so far in Puerto Rico. So how should we sort of think about 2026 broadly with all the moving pieces at play?
Aaron P. Jagdfeld: Yes. George, thanks for the question. Yes, just kind of -- and again, not giving guidance here, but I think to answer your question, let's start with just from a product category standpoint, our residential products and kind of being down a level deeper there with home standby and portables. Yes, it was a crappy season, I mean, let's be honest. The weather was really nice everywhere. We've been doing this a long time. We have not seen many 3Qs where we just didn't have outage activity. Like we planned the business around normal baseline outage and we got nowhere near normal. I mean we were literally 75% to 80% below normal for the quarter, just in raw outage hours. And that's without, obviously, any major events happening either. And obviously, we're comping against majors last year. So just -- it looks bad. It feels bad, but it's temporary. I mean we've been through this before. The weather patterns, we don't know what happens with weather. It comes and goes and these outage -- structurally, nothing's changed there. I mean just you've got -- in fact, I would point to all the structural things from a mega-trend standpoint that we've been talking about only continue to point to less reliability in the grid going forward. So -- and what's really remarkable, I would just put this out, like -- and we said this in the prepared remarks and people can call what they want. But those product categories, home standby and portals were up sequentially over Q2. So like we're holding that baseline of growth that we achieved last year. It's amazing to me that the underlying kind of -- the underlying strength of that category. We just didn't see the seasonal lift that we would normally see. So fast forward to 2026 for that category, it's going to grow well, right? I mean if we return, again, the assumption there, returning to baseline level of outages, now we're going to go to easy comps. Now we're going to have the opportunity to grow that category, and I would also point out, we continue to grow dealer base, right? Our dealer count went up. We added over 100 in the quarter, which I think is indicative of a healthy market. We continue to see lead demand, lead flow. Our customer acquisition costs continue to improve. We've been continuing to use data to refine our lead algorithms and our processes there in a way that we believe is going to impact and had -- we actually saw favorable impact to close rates in the quarter, and we think that's going to accelerate into 2026. So improved close rates next year, broader dealer counts, a return to normal baseline outages. And we also won shelf space for portable generators coming off of last season's hurricanes. So we've got expanded presence at retail. Those are all -- that's all a really good setup for the categories, those product categories next year. So I would put that in the plus column for next year. It's going to grow very nicely. We also have pricing, the effective pricing. We'll get a full year of that next year. So all of those things are good things for our residential products. Energy technology is a subset of that. Inside of that, obviously, Puerto Rico, the energy grant program there goes away after this year. We haven't heard that it's going to continue at least at this point. There's a chance it could, but we're not banking on that at all. And obviously, structurally, I think everybody knows that market is going to contract in 2026, the market for solar and storage. And that's on the back of the loss of -- primarily the loss of the 25D tax credit, incentive tax credit for homeowners. That said, when you look at longer term, look at your electricity rates. And George, I know you follow this. I know a lot of folks follow this. Electricity prices are up. They're up in many cases, in many areas, they're exceeding the rates of inflation and they're only going higher. We're just getting started. That is before we see this wave of AI power demand really impact pricing for electricity rates. And as rates go up, electricity prices go up, as the cost of these technologies continues to come down for storage and solar. And I would also say that as interest rates come down. Structurally, you can say, okay, the market is going to be off. The overall market is going to contract by 20% to 25% next year. I mean, I think it's conceivable that we're not going to claw all that back, but we've got growth with ecobee. And I think we have these other elements that longer term are still a really good setup for solar and storage. We've got a lot of new products just hitting the market. So we feel good about -- it's not going to feel good in terms of the results next year for that segment. I don't think it will be off 20% to 25%. It will be off something because of the loss of the DOE grant program. But again, I think we've -- long term, we feel good about where we're going with that product category. We feel good about the new products, feel really good about ecobee. Ecobee has been an outstanding performer for us within that part of our business. We feel good about that. And then you move to C&I. And that is just a tremendous story in terms of -- we've got great visibility now. That $300 million of backlog that we've amassed. It's doubled in the last 90 days. Most of that is 2026. As we said before, structurally, we think we can probably go to $500 million from a capacity standpoint in '26. So we still have opportunity to take that pipeline and convert more in '26 to the degree that we have customers who may need product and may need to get their hands on gen sets next year, we think we can provide them. And in fact, we think we can probably go north of $500 million to some degree by stretching capacity, by making some of the investments we're making right now. I think there's a little bit of upside there for '26 beyond the $500 million. But what we're focused on right now, George, is beyond 2026. We're focused on growing that business, growing our capacity in a way that, again, it's just as I mentioned before on the previous question, it's just unique, it's generational. It's -- I don't think we'll ever see this opportunity again, and we've got to go after it aggressively.
Operator: Our next question comes from the line of Mike Halloran of Baird.
Michael Halloran: I think you mentioned it briefly in there, Aaron, but maybe just on the new product launches on the clean energy side, I know early days, how is that tracking? And then maybe more importantly, could you just frame up what you mean or what the latest thought process is in terms of getting back to breakeven in those product categories? And what kind of that iterative process looks like as we work through the remainder of this year, early thoughts on '26 as far as how much of that loss you can reclaim?
Aaron P. Jagdfeld: Yes. Thanks, Mike. So again, long term, we feel really good about that set of products for us and the market opportunity there, given the structural challenges around energy prices, and I think -- and continued need for resiliency, right, with that side of the business. We're building out an energy ecosystem. '26 is going to be tougher. We mentioned in our prepared remarks, we used the word recalibrate. We're using that word a lot internally here on how to make sure that as we get to the tail end of our product introduction cycle here with those products, we can ramp down some of the R&D spend associated with that. Now that will shift over into some -- there'll be some hypercare efforts. Those new products are just hitting the market now. Our first shipments of PowerCell 2 -- we're here in Q4. We're kind of on a limited launch schedule. We're looking to expand it in 2026. PowerMicros will start shipping here at the end of this year. So I don't have a ton of data points to offer for the market on the success or acceptance by the market of those products. I can only reiterate what we've been told over the last several years as we've been working on developing these products and that as the market feels that it needs additional suppliers. It's a bit of a duopoly right now on the inverter side. And honestly, it's kind of a -- I want to say it's a monopoly on the storage side, but obviously, there's a supplier there in Tesla that has -- it provides the lion's share of the market opportunity or the market supply. So we think there's great opportunities for us to be successful. Our kind of north star there is still to be breakeven by 2027. That is our north star. It hasn't changed, even though the market is going to contract. That was our north star prior to the loss of federal support, 25D for these products. But we believe, I think given, again, the high -- the continued upward movement in retail electric prices, the continued downward movement in these technologies, the cost of these technologies and the potential for a pullback in interest rates. So we think it's a good setup. The paybacks on these systems will improve over time. They'll take a step back here in '26. But for us -- and again, we're going to recalibrate. And we do -- I want to say -- the last thing I want to say on this, we do need to see success in 2026. Even if it's -- we need to see at least share gains for storage and inverters or we'll have to recalibrate further. If we don't see that kind of success, it is not our intention to be in a money-losing business forever. We are not a start-up with unlimited capital backing from investors. We understand, and believe me, we treat this as our own money. We don't want to lose money on anything we do, but we see this as an investment in the future as an important market, as an important part of building out an energy ecosystem that we believe will provide a differentiated solution for us to be a market participant over the long haul. And we think it's an important thing for us to do. We're committed to it, but we need to see success and we need to see progress. And we're confident that, that will happen.
Operator: Our next question comes from the line of Jeff Hammond of KeyBanc Capital Markets.
Jeffrey Hammond: Just back on the data center, I think you said you think you could do $500 million or maybe better next year. So one, just as you start to get orders, are all of those kind of contemplated for '26? Or are people -- are those longer-dated orders? And then just in terms of like this new capacity you're considering, like what would that look like? Is it a plant? Is it expansion? Is it -- we got to double this thing as soon as we can?
Aaron P. Jagdfeld: Yes. Thanks, Jeff. So just to clarify, so there's a $300 million we have in backlog. We said that the majority of that -- the vast majority of that is a 2026 shipping schedule. The $500 million or north thereof, that's capacity number. So just to be clear, we haven't subscribed that fully yet, but we have the opportunity to do that. I will say, and I think we said this on the last call, a lot of our conversations we're having today, in particular with hyperscalers, is about 2027 and beyond because they've already -- because of the long lead times for these products, many of them have already got their 2026 plans completed. So anything that -- any incremental above the $300 million that we've talked about here for '26, that's going to come as opportunistic things, maybe other suppliers who have delivery challenges. And so somebody needs a Plan B, we could be a Plan B. Perhaps somebody who wants to accelerate connecting a data center more quickly. We are having those types of conversations where they believe they'll have a facility that's ready to go sometime in the second half of 2026, but they maybe weren't planned to be online until early '27, but they want to move that up. And if we can supply generators, that's obviously an important consideration for bringing any of these facilities online in terms of just having the uptime requirements, that could be an opportunity. So we're going to continue to look to how do we improve our capacity numbers even for '26 above the $500 million we have now. But the substantial change, kind of maybe the second half of your question, the substantial change in capacity, what we're looking at there is how do we increase our capacity. Basically, how do we basically double it again? How do we increase that 50% to 100% more than where we're at today? How do we double that for 2027 and beyond, at least '27 certainly, '27, '28? And that's going to come through -- you kind of touched on it. We're going to need hard assets like facilities, right? These are big units. They take up a lot of room. So we're going to need facilities, we're going to need space. We have line of sight on a number of facilities that we are in negotiation on here in Wisconsin and in other parts of the U.S. We haven't signed anything yet, but we are in far along in negotiation and diligence around some of those physical areas where we can expand. Beyond that, we've got equipment ordered with some of the longer lead time elements that we know from the testing equipment to some of the material handling equipment for products of this size. Those lead times are also extended, as you would imagine. And we put those bets down here recently. And so we feel like we'll be able to bring that online in time to satisfy late '26, early '27 type of production time lines. We also, as I mentioned in the prepared remarks, we continue to look at our M&A opportunities. Are there other ways that we could accelerate even more quickly, more rapidly, not only in terms of raw capacity, production for these products, but also certain elements where we can -- are there other value streams we can capture in the unit? We don't make the engine. So structurally, we're in a bit of a disadvantage to some of our competitors who actually make the engine, not all of them do, but some of them do. So where else can we look to add value in these products? And is that an opportunity? Are there other critical components where we've heard of shortages? And can we look to acquisitions to put us in the market to be a more fulsome supplier, not only of the back of equipment, but maybe other elements around the backup systems that go into these facilities? So we're looking at all those things. We've had a very -- as you know, Jeff, you've followed the company a long time. We've got a very active M&A group here, team here. Nothing's changed there. We've done a lot of M&A over the last 15 years. We're very comfortable doing that. We've got an excellent team here that is working on a number of things that could provide us additional capacity and/or capabilities more quickly as we get into 2026. So all those things are on the table. I think the point that I want to make, I think, for you and for others is, we have a fantastic position financially, a great -- a really strong balance sheet. We produce a ton of cash flow. We're going to put that to work. We're going to put that to work in our C&I business in a way we have not put it to work before. We're going to put to work going after this opportunity because, again, we feel this is just a unique thing. And so we're going to be aggressive there. We're going to lean in and that's going to have a -- we believe a material impact to potentially double this business in the next 3 to 5 years, that C&I business.
Operator: Our next question comes from the line of Brian Drab of William Blair.
Brian Drab: This is sort of an easy segue to my question. You're talking about the capacity expansion and the idea that you don't manufacture the engine. I'm just wondering, Aaron, like what are the biggest challenges? What are your biggest concerns about adding this much capacity that quickly in terms of supply chain or just anything in terms of the manufacturing operation that's going to be challenging? I think people are looking for just that confidence that this capacity can come online smoothly.
Aaron P. Jagdfeld: Yes. Thanks, Brian. It's great question. I would just point to -- we brought it online -- brought the product line online in our Oshkosh, Wisconsin facility very quickly. We finished our development earlier this year, produced our first lines. We made -- by the way, within our CapEx numbers this year, a bunch of upgrades to that facility to allow for the start-up of manufacturing in these products. It was part of getting to the $500 million or slightly north of capacity that's available for us in 2026. That's in our run rate -- our CapEx run rate this year. We've been working around the clock, and that's in terms of the test cell upgrades, the material handling upgrades, the physical upgrades. I mean we're moving walls, we're moving cranes. We're expanding. We're doing things there that are readying us for production. And as I said, we rolled some of the first units down the line a couple of weeks ago, got those out on trucks and shipping about 10 days ago, and we're building here in the fourth quarter. So I feel very comfortable that like the production side of this, we can do that. That's within our wheelhouse. The supply chain side, our engine partner there has a ton of capacity. And I don't feel like that's going to be a constraint for us, which I think is -- if you look at the market, the broad market today and the structural imbalance that we've talked about on this call and on the previous call is largely around the engine supply. And so coming into the market with an engine supply partnership like we have with Baudouin, we just -- who has a -- they've made a massive investment that they brought online in these, what they refer to as large bore diesel engines. We feel like we're in a really good position there to be able to supply the market with these types of products. Engines will not be a constraint. Then you move to the next large component, which is alternators. We're working with multiple alternator suppliers. They are all suppliers we know because we buy from them today for our C&I market. So it's not a new supply base. This is a very similar supply base to what we see in C&I, where we have great long-term relationships. So we're able to leverage those relationships to work with them to grow that business and to leverage, again, our expertise and our -- again, we're known commodities. They're not selling to somebody on some fly-by-night operation or some potential customer here, they don't know. We are not a credit risk. We're not a risk operationally. We're a known commodity. So I think those are all pluses. I think where the physical constraints are going to happen or the constraints are going to happen is physically, right? Just the amount of product that we can build because these things take up space. And then downstream, some of the packaging constraints that could happen. You've got a lot of the industry -- we build the unit up to a certain level and then the product is shipped to -- in our industry, what's known as a packager. The packager then provides the outer housing, the enclosure to the end customer spec and those are unique specifications. So they're really a lot of times, they're engineered to order. And so they're highly configured, and they're built to unique specifications for customers. We believe there's opportunities there for us to participate and work with some of the packagers. We've lined up a couple of partnerships there to make sure that we've got at least adequate capacity for the orders we have in-house today. But how do we grow beyond that? We don't want that to be a constraint our growth as we're going forward. So we're looking at ways to partner more deeply with those packages so that we can ensure that, that's not a constraint on our growth for this market opportunity. So there's a lot of things that I just said there, and there's a lot of things that we need to do execution-wise. But again, when I look at what this is, it's just not that far afield from what we do today and, again, or what we've been doing for the last 50 years in the C&I industry. And so I just feel like we're -- if there's a place where something is in our wheelhouse and where we can we have the opportunity to really have an impact, it's in this -- not only the data center end of it, but as I said, the traditional market for large backup power is also a great opportunity for us. We've got a lot of order activity, a lot of pipeline activity there that we're working through as we bring the first products to market on an order basis for that end of the market as well. So a lot of great things ahead for that part of our business.
Operator: Our next question comes from the line of Mark Strouse of JPMorgan.
Mark W. Strouse: Aaron, you mentioned earlier trying to get on the approved vendor list for some of the hyperscalers. Can you just give a bit more color on what that process really looks like? And is the time line for that kind of more measured in months or quarters? Or anything that you can share there would be great.
Aaron P. Jagdfeld: Yes. Thanks. Yes, it's different for each hyperscaler. We are just -- I might just point out, I mean, we are the preferred supplier for 2 global co-locators already. So in terms of like what it means to be on the ABL, when we're talking about that, we're really referring to the ABL from hyperscalers. We're making really good progress with the co-locators, and we are already listed as a preferred supplier for 2 of them globally. So I feel really good about where we're at there. Back to the hyperscalers, I mean, if this is a baseball game, we're not playing baseball here in Milwaukee anymore, unfortunately. God here swept this, but for those that are fans of the game, 9-inning game, not an 18-inning game like the other night, but a 9-inning game, I would categorize our progress there. First of all, it is measured in months. I think, again, the hyperscalers that we're working with are pushing us to get through their gauntlet and it is a gauntlet. It's just a process. A lot of it is -- there's contracts, right? So you've got a lot of back and forth from a legal perspective. You have certificates of insurance. You have entity discussions, right? Like what's their org structure, energy structure. There are high-level management meetings. They want to be face-to-face, right? Every one of them has a little bit of different approach and there are different boxes to check for each one. We do not see any showstoppers in those processes. They just decide to get through. I would say this is a baseball game, back to their reference. We're probably something in the sixth or seventh inning with most of those hyperscalers, maybe a little bit different one to the other from -- each one is a little bit different, as I said before, but good progress. We hope to have better updates as we go forward here. I think the greatest evidence there will be the continued growth in that backlog and actually having a hyperscaler come in and with their trust, give us an opportunity to supply them with product, whether it'd be in '26 or what is more likely, as I said before, it's 2027 and beyond.
Operator: Our next question comes from the line of Christine Cho of Barclays.
Christine Cho: Just as a follow-up to Mark's question. I understand that your engines are actually coming from France, but are you finding that the Chinese ownership of the supplier is something that is brought up in your conversations with the bigger type of customers? And would you say that you need at least one hyperscaler contract in hand in order to feel comfortable in doubling the capacity?
Aaron P. Jagdfeld: Yes. Great questions, Christine. So on the supply chain side, with our engine supplier, we've talked through with our customer base where we're getting our engines from. Obviously, I think if you look at the supply of any of these engines, by the way, from the competitive set, there are components that today are only available in some parts of the world like China. And so our reliance on the supply chain there, that's global in nature, but specific to certain areas of the world, like China in certain countries is not unique. The ownership structure there, I mean, it's something we've talked about. But again, where those engines are manufactured that -- our partner there has a global base of manufacturing that they are expanding by the way. It's not just going to be France. They've got facilities in India. They've got facilities that they're looking at in other parts of the world. So we believe that over time, it's something that will -- if it's a concern today, I think that's something that we're going to be able to mitigate. There are also potential structures -- ownership structures in the future that could look different, right, be the JVs or some other structure there, nothing is off the table. We don't want that to be a negative on our entry into this market. We don't think it is. And nobody has indicated that it's a showstopper at this point, but something that we want to continue to stay ahead of. I think as far as to answer your question about the doubling of capacity or potential doubling of capacity, yes, I would certainly feel better if we had a hyperscale commitment there, that would make me feel better about the long-term usage of that. But I would just say this, the way we're structuring the expansion of capacity there, I want to be clear that we feel it's something that if we needed to be repurposed for something else, we'll use it for that. It could be the next leg of growth in another part of our business, could be -- we lease quite a bit of outside storage space today that could come in-house if we needed to, convert some facilities. It's not ideal. But I think the added capacity that we're leaning into, we feel -- we're not getting to a point where, I would say, let's say, that hyperscale business doesn't come to us for whatever reason. And I don't think that will be the case. I think quite honestly, it will be the other way around. But I do think we'd be able to deploy that capacity to our benefit. It would take longer to use up, of course. And I feel more confident, to your point, if we had that commitment. But I do think that's something that we'll be able to talk about here in the months ahead.
York Ragen: There will be growth in the traditional markets.
Aaron P. Jagdfeld: For sure, growth in our traditional markets that we'll need for that as well.
Operator: Our next question comes from the line of Keith Housum of Northcoast Research.
Keith Housum: I appreciate it. Staying along the lines of the data centers, Aaron, perhaps you can touch on the pricing for these data center generators and like the margin profile and kind of thinking of how that might affect the margins going forward?
Aaron P. Jagdfeld: Yes. Thanks, Keith. It's a great question. Pricing ASP on each unit, you're talking about a 3.25 megawatt unit or larger. And by the way, I mean, I would just note, I mean, today, our product line -- we've rolled out the first part of the product line up to 3.25 megawatts. The next part of the product line from 3.5 to 4 megawatts will roll out in 2026. But the ASPs on these products range from -- depends on the content, depends on the customer, but it can be anywhere from $1.5 million to $2 million per gen set. So pricing is -- and we're competitive on pricing across the market. I would say the margin profile domestically, margin profile is very similar to our C&I product set here in North America, maybe a little bit below that, but not dramatically so. Internationally, it's a little bit below that. The international markets are always -- when you look at our C&I products, gross margins are not quite as strong internationally and that's kind of a legacy -- that's just structural in terms of the international markets being, I would say, more competitive overall and us being a smaller player internationally. So I think that's what kind of leads to that. We're working -- we've made a lot of progress on that, by the way, in our ownership with Pramac over the last decade. They've improved their gross margins dramatically, which has been great, and we're going to continue to work on that. But gross margins for those products, I would just say this, I mean, the incremental impact to EBITDA margins is fantastic for the data center market in terms of the -- that overall impact on our C&I product margins. And if you just looked at the incremental impact on EBITDA margins, it will be positive.
Operator: Our next question comes from the line of Sean Milligan of Needham & Company.
Sean Milligan: I was just curious about the margin progression. I know you don't want to really give guidance for next year. But in terms of the framework, the back half EBITDA margins are kind of weaker than what were expected. So just gives and takes into next year, like does core resi HSB get better? Energy tech, you have some revenue headwinds and then the data center piece. Just trying to kind of think about what that all means for margins moving forward on the EBITDA side.
York Ragen: Yes, Sean, it's York. So yes, I think if you looked at our updated guidance for '25, we're talking more like 17 -- approximately 17% EBITDA margins versus the, call it, 18% to 19% that we were previously guiding. So at the midpoint of the last guide, call it, 1.5% reduction. So maybe, obviously, the unfavorable mix with selling less -- bringing our home standby guidance down, given the outage environment, that's our highest margin product. So I'd say about 1/3 of that 1.5% decline is mix, which to Aaron's point, if you think about 2026 and you revert back to the mean with regards to outages, that mix, we should see a nice pop in home standby that should -- should it help claw back some of that mix decline. So I think on the mix side, there will be some recovery in '26. Obviously, the OpEx deleverage on the lower guide is probably the remainder of the 1.5% EBITDA guide. So obviously, as we are talking about a framework for '26 and growing home standby and portables and C&I, we're going to be able to leverage our OpEx structure. So we'll be able to improve our EBITDA margins from the 17% we're talking about in '25. There's probably some small price cost impact in that 1.5% decline for '25 that I would say is transitory in nature, which shouldn't repeat in '26. So that's a long-winded way of saying we should see some nice recovery in EBITDA margins off the 17% that we're talking in '25, some due to mix, some due to operating leverage, some due to some of these transitory costs coming through, new product introduction costs, plant ramp-up costs, et cetera, pricing. So should see a recovery in those EBITDA margins for '26.
Operator: I would now like to turn the conference back to Kris Rosemann for closing remarks. Sir?
Kris Rosemann: We want to thank everyone for joining us this morning. We look forward to discussing our fourth quarter and full year 2025 earnings results with you in mid-February 2026. Thank you again, and goodbye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.